Operator:
Operator: Ladies and gentlemen, thank you for standing by. Welcome to Clear Channel Outdoor Holdings 2023 Second Quarter Earnings Conference Call. My name is Bruno and I'll be operating your call today. [Operator Instructions] I will now turn the conference to your host, Eileen McLaughlin, Vice President of Investor Relations. Please go ahead.
Eileen McLaughlin: Good morning and thank you for joining our call. On the call today are Scott Wells, our CEO, and Brian Coleman, our CFO. They will provide an overview of the 2023 second quarter operating performance of Clear Channel Outdoor Holdings, Inc. and Clear Channel International BV. We recommend you download the earnings conference call investor presentation located in the financial section in our investor website and review the presentation during this call. After an introduction and a review of our results, we'll open the line for questions. And Justin Cochrane, CEO of Clear Channel UK and Europe, will join Scott and Brian during the Q&A portion of the call. Before we begin, I'd like to remind everyone that, during this call, we may make forward-looking statements regarding the company, including statements about its future financial performance and its strategic goals. All forward-looking statements involve risks and uncertainties, and there can be no assurance that management's expectations, beliefs or projections, will be achieved or that actual results will not differ from expectations. Please review the statements of risk contained in our earnings press release and our filings with the SEC. During today's call, we will also refer to certain performance measures that do not conform to Generally Accepted Accounting Principles. We provide schedules that reconcile these non-GAAP measures with our reported results on a GAAP basis as part of the earnings presentation. Also, please note that the information provided on this call speaks only to management’s views as of today, August 7, 2023, and may no longer be accurate at the time of the replay. Please turn to Slide 4 in the earnings presentation, and I will now turn the call over to Scott.
Scott Wells: Good morning, everyone and thank you for taking the time to join today's call. We delivered consolidated revenue of $636 million during the second quarter, excluding the movements in foreign exchange rates, which was in line with our guidance and up 3.5% as compared to the prior year, excluding the movements in foreign exchange rates and the sales of our former businesses in Switzerland and Italy. In addition, since our last quarterly call, we made notable progress on several facets of our strategic plan. Our results continue to be led by our digital assets, which accounted for 40.8% of our consolidated second quarter revenue and increased 7.3% compared to the prior year, excluding movements in foreign exchange rate and sold businesses. I'd like to thank our global team for their efforts running our business despite the ongoing strategic reviews and a more difficult operating environment. Your focus remains a critical ingredient for our success. In our America reporting segment revenue was up compared to the prior year with higher revenue in most markets, partially offset by continued weakness in San Francisco. We continue to make inroads with new advertisers and categories during the quarter, particularly pharma due in large part to our investments in data analytics. In addition, our airports reporting segment rebounded robustly as advertisers tapped into our dynamic platform to target millions of consumers on the move, and we saw continued strength in several markets in our Europe north segment, including in Belgium and the UK. At the heart of our strategy, we remain committed to becoming a visual media powerhouse by understanding our customer's needs, strengthening our digital capabilities and securely tapping into the right kinds of data to help our clients plan, measure and optimize their campaigns. We continue to believe this is elevating our role within the advertising ecosystem and increasing the range of advertisers we can pursue. In a first for our industry, we recently entered into several partnerships aimed at integrating our radar data platform with best in class data clean room or DCR applications and services to enable brands to utilize first party data matching for out-of-home in the U.S. The marketers that leverage DCRs and the budgets that fund these first party data-driven programs typically are separate from out-of-home budgets and many users of DCRs are not traditional buyers of out-of-home. We believe these integrations will open more doors for us with digital first brands by allowing them to leverage our scale and creative impact to run the most relevant ads and understand and analyze audience behaviors, all in a privacy conscious and secure manner. Since our last call, we also took several important steps with regard to our plan to optimize our portfolio. We closed on the sale of Italy on May 31st and we expect to close on the sale of Spain in 2024 upon satisfaction of regulatory approval and other customary closing conditions. We also entered into exclusive discussions to sell our business in France and are aiming to complete the proposed transaction in Q4 20 23 subject to an information and consultation process with Clear Channel France's employee works counsel, execution of a share purchase agreement and the satisfaction of customary closing conditions. We were able to move forward with these agreements during a difficult environment for transactions including Titan credit markets and the increased cost of financing. I'd like to thank our team and advisors for their diligence and hard work in executing on our business sales efforts. We expect the sales of our businesses in Switzerland, Italy, as well as the anticipated sale of our business in Spain, will generate approximately $175 million in gross total proceeds if and when completed. These transactions together with France will enable us to exit markets that have historically demonstrated a greater degree of volatility in our portfolio, which we believe will improve our risk profile and elevate our ability to drive positive cash flow. Consider that our remaining European businesses, encompassing our Europe North segment, on a trailing 12 month basis, as of June 30, 2023, delivered revenue of $577 million. Segment adjusted EBITDA of $102 million and invested $34 million in CapEx, consistent with the vision we laid out in our Investor Day last September. The European markets which currently comprise our Europe North segment have delivered higher margins and better financial metrics overall have a higher degree of digital penetration and have less volatility than the businesses in our Europe South segment. And importantly, we believe Europe North is in a stronger position to meet its own cash needs. Our Board is continuing to conduct its review of strategic alternatives for our remaining businesses in Europe, as well as evaluating a range of other strategic opportunities to enhance value. We remain focused on delivering profitable growth, strengthening our balance sheet and further demonstrating the operating leverage of our model. In addition, we intend to meaningfully restructure our corporate expense as our footprint simplifies. Now turning to our outlook, looking ahead, our visibility is somewhat reduced, but we are not seeing an uptick in cancellations and we remain within our annual financial guidance ranges after adjusting for sold businesses. However, we did tighten the high end of our guidance range. We're closely monitoring business trends and reducing costs and CapEx as appropriate while operating in a disciplined manner as we execute on our strategic plan. There were in fact benefits from this cost discipline in our Q2 results. Brian will go through the guidance in detail, and as you might have seen in the earnings release, we are expanding our guidance by providing revenue guidance for America, Airports and Europe North for the third quarter and fiscal year in addition to the consolidated guidance we have provided in the past. In our America segment, we started to see the market softening in June resulting in a slightly lower Q2. This trend has continued into the third quarter and is mostly national and includes media and entertainment, auto and technology. This is disappointing given the strong start of the year we had with our upfront, but what we are hearing from certain advertisers and agencies is that some brands are pausing with an intention to spend in the fourth quarter, so we remain optimistic. As anticipated, our airports business rebounded strongly and we're seeing continued momentum with the potential for revenue to grow at an even faster rate in the third quarter as compared to the prior year than it did in the second quarter. In Europe North currently, we are seeing continued strength in the UK, our largest market driven in part by the strength of our digital footprint, somewhat offset by tougher comps in certain markets due to the timing of the COVID-19 rebound last year. As we execute our plan, we are keeping a close eye on advertiser sentiment while operating in a disciplined manner, and with that, let me now turn it over to Brian.
Brian Coleman: Thank you, Scott. Good morning everyone, and thank you for joining our call. Please turn to Slide 5. As Scott mentioned, the second quarter reflects a mix of results, but overall our second quarter consolidated revenue was in line with our guidance. As a reminder, during our discussion of GAAP results, I'll also talk about a results excluding movements in foreign exchange rates and non-GAAP measure. We believe this provides greater comparability when evaluating our performance. Direct operating expenses and SG&A expenses include restructuring and other costs that are excluded from adjusted EBITDA and segment adjusted EBITDA. And the amounts I refer to are for the second quarter of 2023, and the percent changes are the second quarter 2023 compared to the second quarter 2022, unless otherwise noted. It has been a busy period since our last call with the sale of Italy, our agreement to sell Spain and our entry into exclusive discussions on France, including Switzerland, these are all the businesses within the Europe South reporting segment. When we report our third quarter results, all businesses within Europe South are expected to be considered discontinued operation in all periods presented. In addition, when I refer to results excluding sold businesses, I am referring to Switzerland and Italy. The sales of Switzerland on March 31st and Italy on May 31st are impacting comparability to prior periods. Now onto the second quarter reported results. Consolidated revenue for the quarter was $637 million, a 1% decrease. Excluding movements in foreign exchange rates, consolidated revenue for the quarter was $636 million, in line with the second quarter guidance we provided in May and within the guidance range of $629 million to $654 million after adjusting for the sale of Italy. Lastly, excluding movements in foreign exchange rates and sold businesses, consolidated revenue was up 3.5%. Net loss was $37 million, an improvement over the prior year's net loss of $65 million. Included in net loss was $19 million related to an increase in our legal liability for the previously disclosed investigation into our former joint venture in China, which relates to conduct occurring prior to our separation. Adjusted EBITDA was $146 million, down 10.9%, excluding movements in foreign exchange rates and sold businesses adjusted EBITDA would be down 7.2%. AFFO was $31 million in the second quarter. On the Slide 6 for America segment second quarter results. America revenue was $288 million, up 0.9%, reflecting higher revenue in most markets partially offset by the impact of the weakness in our San Francisco Bay area market. Digital revenue, which accounted for 34.2% of America revenue was up 2.4% to $98 million. National sales, which accounted for 35% of America revenue were down 1.5%. Local sales accounted for 65% of America revenue and continue to deliver growth up 2.2%. Direct operating SG&A expenses were up 4.4% to $158 million. The increase is primarily due to a 6.8% increase in tight lease expense to $86 million driven by lease renewals and amendments, including the large lease renewal that has been creating a headwind since Q4 of 2022, as well as lower rent abatements. Segment adjusted EBITDA was $130 million, down 3.3%, but the segment adjusted EBITDA margin of 45% down from Q2 2022. The renegotiation of a large existing site lease contract I just mentioned and the decline in rent abatements resulted in the margin declining this quarter as compared to the prior year. Excluding rent abatements and the impact of the lease renewal, the margin would have been at pre-COVID levels. Now please turn to Slide 7 for a review of the second quarter results for airports. Airports revenue was $71 million, up 16.3%. The robust increase in revenue was driven by increased demand due to recovery in air travel after COVID-19 and the timing of campaign spending. Digital revenue, which accounted for 59.3% of airports revenue was up 22.5% to $42 million. National sales, which accounted for 59.7% of airports revenue were up 31.6%. Local sales accounted for 40.3% of airports revenue and we're down 0.8% due to exiting a few regional airports. Direct operating and SG&A expenses were up 18.1% to $55 million. The increase is primarily due to a 24.7% increase in site lease expense to $43 million driven by lower rent abatements and higher revenue. Segment adjusted EBITDA was $16 million up to 10.5% with a segment adjusted EBITDA margin of 23%, which is a bit elevated compared to normalized levels due to rent abatements. Next, please turn to Slide 8 for a review of our performance in Europe North. My commentary on Europe North and Europe South is on results that have been adjusted to exclude movements in foreign exchange rates. Europe North revenue increased 4.5% to $152 million, driven primarily by higher street furniture revenue. Revenue was up in most countries, most notably Belgium and the UK and Denmark, partially offset by lower revenue in Sweden and Norway. Digital accounted for 52.8% of Europe North total revenue and was up 6.2% to $80 million. Europe North Direct operating and SG&A expenses were up 6.9% to $126 million. The increase is due to higher rental costs related to additional digital displays and higher labor costs and electricity prices. In addition, site lease expense was up 3.4% to $60 million, mainly driven by higher revenue and new contracts. Europe North segment adjusted EBITDA was down 5% to $26 million and the segment adjusted EBITDA margin was 17.4% down from the prior year, primarily due to the increase in expenses that I just mentioned. Now on to Slide 9, for our performance in Europe South. Europe South segment revenue decreased 20.6% to $104 million. Sales of our former businesses in Switzerland and Italy resulted in an FX adjusted decrease of 28 million. Additionally, higher revenue from Spain related to the continued recovery from COVID-19 was partially offset by lower revenue from France due to weaker demand as a result of civil unrest and protests, as well as billboard takedowns. Europe South segment adjusted EBITDA was $2 million. Moving on to CCI B.V. on Slide 10, Clear Channel International B.V. referred to as CCI B.V. is an indirect, wholly owned subsidiary of the company and the issuer of our 6 and 5, 8 senior secured notes due 2025. It includes the operations of our Europe North and Europe South segments, as well as Singapore, which following the changes to our reporting segments in the fourth quarter of 2022 is included in other. The CCI B.V. revenue decreased 6.8% to $261 million from $280 million. Excluding the $0.1 million impact from movements in foreign exchange CCI B.V. revenue decreased 6.9% driven by the sales of our former businesses in Switzerland and Italy, which resulted in an FX adjusted decrease of $28 million. This was partially offset by higher revenue for many of our remaining European businesses as I just mentioned. Singapore represented less than 2% of CCI B.V. revenue for the three months into June 30th, 2023. CCI B.V. operating income was $13 million compared to $16 million in the same period of 2022. Now moving to Slide 11 and our review of capital expenditures. CapEx totaled $37 million in the second quarter, a decrease of $9 million over the prior year due to timing. On to Slide 12, our liquidity was $456 million as of June 30th, 2023, down $89 million compared to liquidity at the end of the first quarter, due to lower cash and cash equivalents partially offset by higher availability under our credit facilities driven by an increase on our total borrowing limit. As you may know, in June, we were able to amend and extend our revolving credit line, which we believe strengthens our liquidity profile given the significant market volatility and tightened credit availability. During the second quarter, cash and cash equivalents declined by $107 million to $233 million driven by net operating cash outflow and capital expenditures. The net operating cash outflow was driven by cash, paid for interest and other changes in working capital, primarily accounts receivable. Our debt was $5.6 billion as of June 30th, 2023, basically flat with March 31st. Cash paid for interest on debt was $130 million during the second quarter, an increase compared to the same period in the prior year due to higher interest rates in our term loan facility. Our weighted average cost of debt was 7.4%, a slight increase compared to the weighted average cost of debt as of March 31st, 2023 and as of June 30th, 2023, our first lien leverage ratio was 5.52 times, a slight increase as compared to the March 31st, 2022. The credit agreement covenant threshold is 7.1 times. Moving on to Slide 13 and our guidance for the third quarter and the full year of 2023. As you can see on this slide, we have expanded our revenue guidance for both the third quarter and the full year to include revenue guidance on America, Airports and Europe North. Spain and France are still in our consolidated guidance along with other, but Europe South is expected to be considered discontinued operations when we report our third quarter results. And therefore, we're not providing separate guidance, all consolidated guidance and Europe North guidance excludes movements in foreign exchange rates, with the exception of capital expenditures and cash interest payments. For the third quarter, we believe our consolidated revenue will be between $570 million and $600 million. We expect America revenue to be between $273 million and $283 million a decline compared to the prior year, driven primarily by softness in national and Airport's revenue is expected to be between $73 million and $78 million, a 17% to 25% increase over the prior year, potentially offsetting the decline in America. Europe North revenue is expected to be between $132 million and $142 million. Based on the average foreign exchange rates in June, 2023. There could be an FX benefit in a quarter of about 5% or $7 million. Now that we are halfway through the year, and based on our current visibility, we have updated our full year guidance previously reported in May to reflect the sale of our former business in Italy, and to tighten the high end of the ranges provided. For the full year, we expect consolidated revenue to be between $2.465 billion and $2.535 billion. America revenue is expected to be between $1.095 billion and $1.115 billion. And Airport's revenue is expected to be between $285 million and $295 million. Europe North revenue is expected to be between $590 million and $610 million. On a consolidated basis, we expect adjusted EBITDA to be between $522 million and $552 million. AFFO guidance is $62 million to $82 million. Capital expenditures are expected to be in the range of $163 million and $183 million with a continued focus on investing and our digital footprint in the U.S. Additionally, our cash interest payment obligations for 2023 are expected to be approximately $416 million an increase over the prior year as a result of higher floating rate interest on our Term Loan B facility. This guidance assumes that we do not refinance or incur additional debt. Lastly, as part of our review of strategic alternatives for our remaining European businesses and assume disposition of those businesses, which is uncertain, would be expected to ultimately reduce our corporate expenses by at least $30 million annually. And now let me turn the call back over to Scott for his closing remarks.
Scott Wells: Thanks, Brian. Looking ahead, we continue to be optimistic about our outlook. Within the U.S. the America national business remains challenged while local continues to grow and Airports is experiencing strong growth. In Europe, Europe North continues to deliver solid results. We remain within our annual financial guidance ranges after adjusting for sold businesses, as well as tightening the high end of our ranges, and we'll take further steps to address our costs if necessary. Additionally, assuming a stable macro environment and continued progress in the execution of our strategic review process and successful application of resulting net sales proceeds, we believe the company will reduce its indebtedness. And in 2024, meaningfully grow AFFO. Further and as previously mentioned, we anticipate that the assumed disposition of our remaining European businesses would enable us to lay out a timeline for material corporate cost reductions. We continue to believe these actions will ultimately drive value for our shareholders. And now let me turn over the call to the operator for the Q&A, and Justin Cochrane will join us on the call.
Operator: Thank you. [Operator Instructions] Our first question comes from Ben Swinburne from Morgan Stanley. Ben, your line is now open. Please proceed.
Ben Swinburne: Thank you. Good morning. Hi guys, hope you’re doing well. Scott, may be just one for you. As you think about the categories that are under pressure that you called out in your prepared remarks, what are you thinking or seeing from them as you look into the fourth quarter? You've obviously got a fourth quarter sort of implied in your full year guidance and your Q3 guidance. I'm just wondering if you think this weakness sort of continues on or gets any visibility to improvement or further decay? Maybe that's just a conversation about the weaker categories would be helpful. And then, Brian, anything you want to highlight on expenses in the second half, whether it's year-over-year comparisons to renovate and thinking about the Americas segment or anything else you'd want to call out in terms of cost action as we think about OpEx in the second half of the year? Thank you both.
Scott Wells: Thanks, Ben. First off, on the categories. The behavior of the market has been a little eclectic of late. And the categories that we called out are the ones that were weakest, but there's definitely been some account campaign activity being held over the course of the summer. We really saw it start happening in June, and it was pretty broad-based. The ones that we called out were the ones that were the weakest. As we think about how things are going to build, we always have pretty good visibility. We talked about our upfront, and I referenced being disappointed that we're not seeing the growth that we thought we might see in Q3 when we saw what our upfront looked like. That's really what continues to give us confidence in Q4 also just looking at the current booking activity that Q4 is going to be stronger than what Q3 is going to be. But it is always very difficult to tell when people start going into this mode. The thing that we're hearing from a lot of our agency partners is that there are – the pipeline of activity for Q4 is really strong. It's a question of whether people are going to hit go buttons toward the latter part of August, early part of September, that's when we're really going to know for sure how things build. But the book has the strength to deliver the guidance that we've put and then some, I think. And I think as this plays out, it does seem like there may be some shifting of seasonality. And I don't want to read too much into this because I think tech in particular, have been working on their P&Ls this year and have really been quite pausing in their campaigns. Media and Entertainment, who knows where the writers of actors strike go. Television is a less important part of media and entertainment to us than movies, and movies are not going to be as impacted if this doesn't go on a super long time. So I guess what you're getting from me is, we've given a guide we feel very good about, but it is very hard to create the straight line between exact categories and exactly where that guide is. Brian, do you want to take the expenses?
Brian Coleman: Sure. Thanks, Ben. For the second half of the year, we're going to continue to monitor operations closely. In fact, I think you probably heard in the script, the prepared remarks that we are seeing the benefit of some cost reductions even in Q2, even though there wasn't a lot of elaboration. So certainly monitoring operations through the second half of the year, and we'll adjust as appropriate. Abatements, they kind of continue to roll away from the prior year. It's a bit chunky, but as we lap the last year, where we had a lot of abatements, I think we'll continue to see those fall away. We are still seeing the impact from the large contract that we've talked about. That will roll away after Q3 of this year, and so the comps will normalize. I'd also mention that you likely saw CapEx down this quarter versus the same quarter in the prior year. Some of that is timing and deferrals. Some of that is reduction. I think what I would characterize all this as saying is we're closely monitoring operations and to the extent performance is under what we're expecting. We will continue to use cost levers and capital levers as appropriate to ensure adequate liquidity.
Ben Swinburne: Thanks guys.
Scott Wells: Thanks, Ben.
Operator: Our next question comes from Steven Cahall from Wells Fargo. Steven, your line is now open. Please proceed.
Steven Cahall: Thank you. Maybe first, Scott, if you could talk a little bit about the differences in Local versus National. We heard from some TV broadcasters on Friday that Local was quite strong, especially in auto. It doesn't seem like that National is a leading indicator for local right now. But historically, sometimes we have seen local kind of catch up to national trends. So maybe you can kind of compare and contrast what you're seeing in local demand versus what you're seeing in national demand? And how you see those two trending with a little bit of a split between how much of your business is local and national? And then on Airports, would just also love some color on the strength there? And Brian, is it correct that you do have a tough rent abatement comp in the third quarter in Airports, just thinking about how we might model that EBITDA? Thank you.
Scott Wells: Thanks, Steve, I'll start with the local, national. Roughly, we're 60% local, 40% national. It fluctuates a little quarter-to-quarter, but that's a reasonable way to think about our mix. And it definitely is the case for Q2 and for our guide that local is more reliable than national, and it has been really, really since the start of COVID. The two markets really split. There was a stretch where National came roaring back after COVID and then that has abated somewhat in more recent times. And as I was mentioning to Ben, the tech companies, in particular, we know that they've been working on their P&Ls and pulling back on ad spending. And we've seen the impact of that. As we look forward, I would definitely say that local looks better than national certainly for Q3. Q4 could be a little bit of a toss-up. Again, I have some expectation that we're going to see some campaigns come off the sidelines, but it is a very inexact thing to forecast exactly how the advertising is going to go. So that's local, national. On Airports, we are still benefiting from the build-out of the New York contract. We had Newark [ph] come online this year. LaGuardia came online sort of second half of last year – parts of LaGuardia. LaGuardia has been coming online for a while. So those are some of the things driving the strength in it. I think, obviously, the air travel is driving the strength, and there are a lot of advertisers interested in that real premium audience that's very, very active this summer. Brian, do you want to take the abatement question?
Brian Coleman: Sure. Steve, I know we had some airport abatements in the second half of last year. I can't exactly remember the timing. I think we disclosed when that is. And we should expect a reduction as we kind of lapse those rent abatements. So it could lead to a tough comp. Really, the only thing I'd say encounter to that is airports in Americas is the 1 place where we are continuing to seek some relief, and don't know if and when that will come through, but that could be an offset. I wish I could be more specific, but that's probably about as much detail as I can give you to help with your model. So hopefully, it's something to work with.
Steven Cahall: That's helpful. And maybe just a quick follow-up on Europe. I mean so you've got a lot of Europe South done now, effectively all of Europe South done now. I think Europe North, which you said is both kind of a better business and maybe also is the print hub for a lot of Europe. So I'm wondering if there's any benefit to revenue or EBITDA as a supplier to the divested European South? And kind of more strategically, how do you think about Europe north in terms of keeping it in the portfolio versus strategic alternatives for it? Thank you.
Scott Wells: Well, the strategic review is definitely ongoing. You're right, Europe North is where a fair bit of our corporate team ultimately sits, although there's a fair bit of corporate distributed around the country as, obviously, a lot of the budgets around – a lot of the countries have their own corporate overhead that you need to have a country lead, you have technology in the country. There's certain financial and legal and other sorts of overhead that would be in the countries. But I think you should just think of our process is ongoing. We've been very clear that we're a long-term exiter of Europe. We think that, that's an important part of our REIT conversion ultimate plan. And there's nothing – the thing I would really emphasize on what we've accomplished so far is we've done some of the toughest deal making to create the ability to have a much derisked European platform. I think that's how I'd characterize it, Steve.
Brian Coleman: And Steve, just to add on kind of the expense side. Keep in mind that while we have these countries, in a couple of cases, Switzerland, Italy sold, in the other cases, agreements or movement toward an agreement, the – we still got to manage these businesses. For example, Spain actually won't close till 2024. So we've tried to provide some guidance on corporate expense reduction after the process is complete. But it will – there's a lag in achieving those. Obviously, we'll continue to reduce costs if and when we can. But we've also got to do it at the right time as these businesses are either still operating or maybe there's a service agreement in place for a period of time.
Steven Cahall: Thank you.
Operator: Our next question comes from Richard Choe from JPMorgan. Richard, your line is now open. Please proceed.
Richard Choe: Hi, I just wanted to follow up a little bit on, I guess, the Airports. Has international travel supported the strength there? Or is it just the build-outs that are continuing to help, and then I have a few follow-ups.
Scott Wells: Yes, Richard, international travel certainly has contributed. It's hard to isolate. Probably the way we most see international travel, I think, back to when COVID came on the scene and international travel stopped. Certain individual airports like a JFK or like San Francisco or like Atlanta in our portfolio, Chicago in our portfolio, those airports all suffered a lot with both international and business travel shutting down during COVID. And they've definitely helped as things have rebounded. But it's difficult to isolate specific to international travel beyond kind of the airports that have a good exposure to it. And we definitely have seen – that's been supporting of the, the broader thesis people have had in buying airport inventory.
Richard Choe: Got it. And then on the digital side continues to be strong. How much of that is from the build-outs versus strength in the business? And are you seeing any weakness there? And is there potential to have less – or is there less visibility there? So is that a bigger question mark?
Scott Wells: Yes. I mean you have digital playing a role in every element of our business. So if I think about the European business, digital continues to be strong, and it's a central part of the trading there. In airports, a lot of the inventory that we're building is digital as these airports modernize and everything like that. And so it's – those are the two, Europe and Airports are where the proportion of digital revenue has been growing the strongest. I suspect the root of your question is the U.S. digital business. A lot of our investors are very interested in that. And it grew, but not that robustly. And I think it is because it is the kind of late booking part of our portfolio, it can be the most volatile part of our portfolio. And when we get to a little bit of pauses in demand or where the spot market isn't as rich as it is usually, you see that down. But I think we continue to be very bullish on doing the digital conversions, but it is something we watch very closely. Does that get to the root of your question?
Richard Choe: Yes. You left it a little open ended just to kind of see where you could give us a little more color on strength and maybe trends just because it is obviously a large part of all your businesses. But just a follow up lastly on the national softness in the overall environment. I guess you're characterizing it more as a pause and not cancellations. And is that the best way that we should be approaching the rest of the year at this point? Or is it a little bit worse than that or different than that?
Scott Wells: So it's a really hard question to give you a really hard – really firm answer on exactly is it a pause or is it not? The behavior certainly – if you think about the year, January and February were rough. And then things really got on a very steady state of improvement and actually really strength by the time you're talking about sort of May. And then June, it just wasn't as good. When you think about this business, so much of the concern – it's interesting, the concern on recession has diminished. But when you think about this business going into recession, that's when you really see the cancellation activity, and that's why we called it out is we've tried to be very transparent about this that we haven't been seeing cancellation activity and cancellation activity is what usually is the precursor of no real downturns in our business. And we're not seeing that, and we have continued to not see that. What we have seen is a lot of campaigns getting planned and then people saying, oh, we'll launch that in August. We'll launch that in September. And so we're in a little bit of that holding pattern right now. And it's very hard to generalize and know exactly how that takes off. But if you think about our business, we always have the load that we get from the upfront that gives us a sense of where we are kind of year-on-year with pretty good visibility. And then we're working on trading in the spot market, and that's where that digital stuff really comes into play. And the spot market in June and into July, it actually got somewhat better as July progressed. Has – that's what's behind our guide. I mean, obviously, we do our guide at the very last minute before we have to do the earnings calls. And so I'd characterize it as it's behaving the way that we think it's going to behave, but marketers are an unpredictable bunch, and it's hard to know exactly how it will all land.
Richard Choe: No, that's very helpful, thank you.
Operator: Our next question comes from Avi Steiner from JPMorgan. Avi, your line is now open. Please go ahead.
Avi Steiner: Thank you. Good morning. A couple here, just first on free cash flow, a little bit higher than I was looking for. I think, I understand cash interest and CapEx. I'm just wondering if there's anything else we should be thinking through for the back half of the year, whether it's working capital or anything else? And then I've got a follow-up. Thank you.
Brian Coleman: Yes. You mentioned the big drivers of interest expense and investment in the business through CapEx, even though we ranged [ph] it in a little bit this quarter. I think on the working capital side, there is a big AR build. It's seasonal. And so I think those patterns will continue going forward quarter-to-quarter. But it was a big number this quarter. And so that's may be kind of the difference. And so I would characterize kind of those three items impacting free cash flow in the overall backdrop of a little soft quarter than we had hoped for.
Avi Steiner: Appreciate that. And then, Scott, a couple for you, if I could. The strategic review language, maybe it's just me, but it looks to have changed a little bit from prior releases to read that as well as Europe, maybe you – maybe, but you are evaluating a range of other strategic opportunities to enhance value. I don't know, if possible, but to the extent possible, perhaps you can elaborate on that? And then I've got one, last one. Thank you.
Scott Wells: Yes, Avi, I mean I think we are always striving to be as disclosure and transparent as we can be, but you may be reading a little more into that one than merits. But we've been pretty clear, I think. I guess I'd go back to first principles on this one that we ultimately see this as a U.S.-focused business. And we have assets in various parts of the world that are not the U.S., and I think, strategically, we're considering the right time and the right opportunity for making those divestitures as it makes sense. But I don't know that there was anything intentional in our write-up on that. I don't know, Brian, if you...
Brian Coleman: Other than we always keep an open mind and look at alternatives, but nothing specific.
Scott Wells: Exactly.
Avi Steiner: Fair enough. And let me ask one last question, if I can, and I appreciate the time as always. I know the moderating outlook ad outlook is temporal in nature, but maybe given the lower equity valuations of at least one of your REIT peers, I'm wondering if your thoughts about potentially driving towards a REIT conversion, which you had mentioned earlier, might have changed at all and if there are any other options that might be attractive to the company? Thank you very much for the time.
Scott Wells: Yes, Avi, it's a great question. I think our view on REIT is driven by the benefits that REIT status ultimately give. For those benefits to work maximally, you have to have the right capital structure associated with it. So I think if there's anything I'd characterize is that this just redoubles our commitment that we need to get our balance sheet in the right place before we pull the trigger on becoming a REIT. I don't know, Brian, if you would add anything to that.
Brian Coleman: I think that's exactly right, Scott.
Avi Steiner: Thank you all.
Brian Coleman: Thanks, Avi.
Operator: [Operator Instructions] Our next question comes from Jonnathan Navarrete from TD Cowen. Jonnathan, your line is now open. Please go ahead.
Jonnathan Navarrete: Hey good morning. Thanks for taking my call. The first one is on regarding Airports. So could you speak a little bit about when did volumes start picking up? Was it like maybe towards the end of May? And has that type of volume continued, or has it increased even? And a follow-up to that is, with airports, are you seeing any indication that the bottoms will continue to pick up into the fourth quarter or how do you have any insight into the fourth quarter as of now?
Scott Wells: Sure. Thanks, Jonathan. We spent a lot of time in our Q1 call trying to explain what happened in Airports. And I think that I'll just reiterate it just to be clear. We had a very large campaign move from Q1 to later in the year. And part of what you're seeing and the strength in Q2 and in our outlook is the benefit of that campaign running through. And that had dropped late enough -- that decision had drop late enough that we were not able to backfill because it was a very substantial contract. And so you're seeing that play out. Airports has a relatively long lead time going into it. It varies by location. It varies by campaign. But people tend to plan fairly well in advance and buy fairly well in advance. And so the guide that we are sharing with you reflects our up-to-the-minute view of that. And we will see the tailwind of LaGuardia coming online abate as the year goes. And as we get into 2024, the tailwind from Newark coming online will abate. There is still more build-out activity and things like that, and we'll have the normal puts and takes on contracts. But the New York airports really do exercise a differential impact. And what -- the guide that we provide is what we feel very good about as of today.
Jonnathan Navarrete: Okay. Follow-up is on just Latin America. In terms of timing and investing in this asset, how are you thinking about that? Or would you prefer to complete the Europe strategic review first and then focus on Latin America?
Scott Wells: I think, we are, as Brian said, always looking at the market and always looking at where the opportunity is. While there'll be some overlap in the resources we need to run a process, it wouldn't be 100%. So it's not impossible for us to do that. But I think we need to work the timing on that as the market conditions put us in position for that to make sense. I think that's how I'd characterize it.
Jonnathan Navarrete: Okay. And the last one, and again, perhaps I'm reading too much into the language in the release, but when you guys describe Switzerland, Spain, Italy, to you guys describe it as – sell [ph] right. Whereas for the French business, you guys used the word divest. So I'm just wondering like can this – can this be code for like we're not expecting any proceeds for the France business or am I reading too much into it?
Scott Wells: I think its code for we're not done because we are in the midst of the works council review. We're not done with the process. But I think we have been clear that our expectation is it would be a closure in Q4, presuming that, that works council process goes well. And I think we have to honor that process. And so there's – we're not really able to give a lot of detail on the terms at this point.
Jonnathan Navarrete: Okay. Thank you.
Scott Wells: Thank you.
Operator: Our next question comes from Jim Goss from Barrington Research. Jim, your line is now open. Please proceed.
Jim Goss: Thank you. And I was curious to the extent that Clear Channel would like to be a U.S.-focused operation, but the Northern European operations are doing fairly well. Is there any potential consideration of spinning that off as a separate company rather than selling them individually? And I do have a couple of others.
Scott Wells: Sure, Jim. I mean, I think when we talk about a strategic review, implicit in that is that we're going to look for the highest and best use for any asset that we're thinking about separating from. That is not – that's not a structuring thing or an avenue that I'm in any position to speculate on right now. But as we highlighted in their LTM financials, this is a business that is a business that can sustain itself or we believe can sustain itself. And that would be a possible avenue if that seems like that was the value maximizing avenue, but I can't really comment on it beyond that.
Jim Goss: Okay. And one other thing is, you mentioned Belgium, UK and Denmark were doing reasonably well, but Sweden and Norway were having more challenges. And I'm wondering what would be the distinguishing factors between those markets? Are there specific market-by-market issues? Or is there something broader than that we might look at?
Scott Wells: Justin, do you want to comment on that one?
Justin Cochrane: Yes. I think the simplest way to think about it is, the only difference in those markets maybe is we've got a higher degree of transit and transits at longer to bounce back from COVID. So I think in those markets, you saw a bigger bounce back in the middle of 2022. So on a comparative basis, they've got hard comparative than other markets that have I don't think there's anything else particularly that distinguishes them. It's probably more just a function of timing.
Jim Goss: Okay. And one last thing. You also mentioned that you felt you're strengthening digital capabilities, we're helping potentially including planning and measurement, we're helping broaden the range of advertisers you can serve. And I wonder if you might talk a little bit more about that. What types of additional advertising advertisers you might be able to access? Whether it might change your national and local mix to any great extent? And I guess that's mainly it.
Scott Wells: No. It's a great question, Jim, and it gets to the root of what we're working on in the U.S. of becoming a more modern medium I think there's a couple of avenues to it. I think first off, we've called out that we're seeing growth in pharma, and that is directly related to analytic capabilities that we have developed and that we have demonstrated the efficacy of. We've been working with that vertical for some time. Now is when we're talking about it because we're in the midst of renewals with a key partner and seeing the results kind of compound and that's a direct result of the kind of analytics. I think related to that, the CPG category is a phenomenal advertiser globally, but not very good in the U.S. And part of the reason in the U.S. is the lack of data. Part of the reason is that the assets are not as close to point of sale as like street furniture is, but you've got advertisers that spend meaningfully in out-of-home in Europe or Latin America that do not spend in the U.S. that we have seen some traction with the data that we've got. And then I think the final piece is we really do perceive opportunity in the digital-first advertisers and there's a lot of them. And you saw our announcement on data clean rooms. That is something that we think is going to pay real dividends for us over the medium term because it enables us to be – it enables us to be in dialogue and in partnership with companies that frankly don't use traditional media hardly at all. And so it's all three of those areas that we're seeing opportunity in. Marketers do move fairly slowly. And so the way that it works typically is you do test budgets, you go through a cycle, that might take six months, nine months, and that's setting aside whatever it took you to sell in the idea to begin with, which is not a short sale. And then once you've had the tests, you start to get the renewals and you start to get the upsizing of the budgets. And so this is a compounding process. It's not a fast process, but it's something we very much believe is a key to the future of this industry, and we're aiming to be at the forefront of it. So hopefully, that gives you some more color.
Jim Goss: It does. And it sounds like if you're discussing pharma and CPG that, that would tend to tilt a little more toward national, if that's a fair assumption?
Scott Wells: Yes. I think certainly, pharma, CPG, yes, I mean, there are knock-on some CPG budgets get activated locally and that ends up looking more like local spend, so that's a little less one for one. But yes, on the margin, you're probably right that it probably is a little bit more national. I don't think – in the kind of planning horizon, I don't think that, that will dramatically change our sort of 60-40 split because we're also doing a lot of things to develop in our local business, different sales force tactics, using inside sales, various things like that. So we're striving to drive growth across our portfolio of customers.
Jim Goss: All right. Thank you very much.
Scott Wells: Thanks, Jim.
Operator: We currently have no further questions. So I would like to hand over the call back to Scott Wells for closing remarks. Please go ahead.
Scott Wells: Great. Thank you, Bruno, and thank you for all of our questions. I'd just leave you with three thoughts. This is a time that there's a little bit of a pause in the marketplace, and it's not entirely clear of where the market is going to go. But this business remains a very good business with attractive economics. And it's a business that we are in the midst, which is our second thought. We are in the midst of derisking it, and we're making material progress on that, which should be something that pays real dividends over time. And look, we're an LBO publicly. And LBOs typically are private, and they get to do a lot of things behind the scenes that are hard things that are hard to talk about until they're done. But when you have them done, you're really glad that they're done. We are striving to be as transparent as we can be. But these are – some of these transactions are pretty difficult. So we're striving to be transparent. We think we're making great progress, and this business remains a good business. So thank you for your interest in us, and we'll look forward to catching up and giving updates as we continue to make progress. Take care.
Operator: Ladies and gentlemen, this concludes today's call. Thank you for joining. You may now disconnect your lines. Thank you.